Operator: Good morning and welcome to the Otter Tail Corporation Quarter One 2022 Earnings Conference Call. Today's call is being recorded and we will hold a question-and-answer session after the prepared remarks. I will now turn the call over to the Company for their opening comments.
Tyler Akerman: Good morning, everyone, and welcome to our call. My name is Tyler Akerman, I'm the manager of Investor Relations at Otter Tail. Last night, we announced our first quarter 2022 earnings results. Our complete earnings release and slides accompanying this call are available on our website at ottertail.com. A recording of the call will be available on our website later today. With me on the call today are Chuck MacFarlane, Otter Tail Corporation's President and CEO; and Kevin Moug, Otter Tail Corporation's Senior Vice President and Chief Financial Officer. Before we begin, I want to remind you that we will be making Forward-Looking Statements during this call. As noted on Slide 2, these statements represent our current views and expectations of future events. They are subject to risks and uncertainties, which may cause actual results to differ from those presented today. So please be advised about placing undue reliance on any of these statements. Our forward-looking statements are described in more detail in our filings with the Securities and Exchange Commission which we encourage you to review. Otter Tail Corporation disclaims any duty to update or revise our forward-looking statements, due to new information, future events, developments, or otherwise. For opening remarks, I will now turn the call over to Otter Tail Corporation's President and CEO, Mr. Chuck MacFarlane.
Charles MacFarlane: Thank you, Tyler. Good morning and welcome to our first quarter 2022 earnings call. Thanks to the efforts of our employees, Otter Tail Corporation has record financial results in the first quarter of 2022. Please refer to Slide 4 as I begin my comments on our results. We achieved earnings per share of $1.72, which is an increase of 136% over the first quarter of 2021. The increase was led by our plastic segment, which had another outstanding quarter. Kevin will provide more detailed discussion of our Q1 financial performance in his comments, but here is an overview. Our electric segment increased earnings by 1.6 million or 9.4% over Q1 2021. This was primarily due to a favorable impact of weather as well as increased commercial and industrial sales. Our manufacturing segment earnings decreased by 1.3 million from Q1 2021. The decrease was due to lower productivity and increased cost. Additionally BTD customers have been taking less product then they have forecasted as they are experiencing supply chain constraints from other suppliers which is impacting the demand they have for products from BTD. Our plastics segment quarterly earnings increased 41.7 million over Q1 2021. The expected decline in resin and pipe prices did not materialize in the first quarter. PVC resin production and supply did improve slightly during this period. Resin prices are now expected to increase through July driven by increased natural gas prices and a strong resin export market. We continue to grow Otter Tail Power through capital investments in generation transmission distribution and technology projects. We are closely monitoring and tracking supply chain issues and inflationary pressures which may impact all of our capital projects. As shown on Slide 10, Otter Tail Power's Hoot Lake solar project is still on scheduled to be completed in 2023. Construction of the 49 megawatt solar project is expected to begin in May of 2022. Near and on the retired Hoot Lake coal plant property. There has been some inflationary pressure on freight and steel costs. We have contracted thin film panels which are not subject to the current Department of Commence circumvent review or forced labor allegations in China. The project costs are approved and to be recovered through the Minnesota renewable rider. Our investments in Hoot Lake solar and those identified in our integrated resource plan and other capital expenditure plans provide the opportunity to meet the carbon emission reduction and renewable energy goals and targets we have set. As shown on Slide 6, assuming forecast dispatch occurs. We are targeting to reduce carbon emissions from our own generation resources approximately 50% from 2005 levels by 2025 and 97% by 2050. Additionally, our owned and contracted energy generation will be more than 50% renewable by 2025. The high performance crypto mining and related infrastructure solutions load Otter Tail Power announced last fall started to come online in the first quarter of 2022, which helped to contribute to the favorable first quarter the utility had. Otter Tail Power has established super large general service rates in Minnesota and North Dakota. Having these rates in place provides the sales team with another tool to attract large new load customers to our service territory. The sales team continues to work on adding new load from potential customers similar to the one announced last fall as well as other commercial and industrial customers. Otter Tail Power's Integrated Resource Plan filed in September 2021 continues to move forward. Minnesota Public Utilities Commission hearing on the IRP is expected to be scheduled during Q3 of 2022. As shown on Slide 12, the preferred five-year plan requests authority to add dual fuel capability at a storage station at 150 megawatts of solar at a yet to be determined site and to commence the process of withdrawing from a 35% ownership interest in the coal fired titled station generating plan. As reflected on Slide 15, we are projecting a 5.9% annual rate base growth over the 2021 to 2026 timeframe. From 2022 to 2026, Otter Tail Power is forecasting capital expenditures of 978 million. Rider a recovery is expected for nearly half of the forecast capital spend. As shown on Slide 18, Otter Tail Power has maintained lower rates than the national average. Otter Tail Power continues to monitor fuel costs and works to provide low cost generation for its customers through its own generation fleet, as well as market purchases. Turning to our manufacturing segment, BTD contract metal fabricator was challenged to adjust production to meet the changing OEM customers’ delivery requirements caused by supply chain issues they are experiencing. These adjustments resulted in reductions in production efficiencies. Steel prices peaked in the fourth quarter of 2021, and they remain high. Even though there were some price declines early in the first quarter of 2022, prices increased in March. We remain focused on receiving material on time to meet customer demand, and passing through these higher steel prices to customers. T.O. Plastics had increased sales prices and volumes due to strong horticulture sector sales, which lead to increased operating revenues. Our plastic segment continues to deliver extraordinary results. The market conditions in Q4 2021 continued in the first quarter of 2022 with demand for PVC pipe remaining strong. Sales prices continue to increase related to strong demand for PVC pipe and limited PVC pipe inventories. We continue to monitor the current inflationary environment and its impact on our business. We are focused on improving the pricing of our products, the pass through of pricing surcharges where appropriate, managing labor operating and maintenance expenses and updating capital budgets in light of increasing construction and equipment costs. I will now turn it over to Kevin to provide additional detail on our financial performance for the first quarter.
Kevin Moug: Thanks Chuck and good morning everyone. We had a great first quarter with consolidated revenues up 43% and net earnings up 137%, which primarily were driven by the plastic segment. Our electric segment is a well run fully integrated electric utility with a growing rate bases expected to provide continued earnings growth with supportive regulatory environments and a demonstrated ability to successfully execute large scale capital projects. Our manufacturing and plastic segments provide additional earnings growth and are well positioned for the future. The additional earnings and cash flows generated by the plastic segment in 2021 and expected to be generated in 2022 to provide additional strength to our already strong credit metrics, liquidity and capital structure. Our operating cash flows and liquidity available under our credit facilities provide us additional opportunities to invest in our businesses. Examples of this are a $20 million discretionary contribution made to our pension plan in February, we acquired land in the fourth quarter of 2021 adjacent to our Vinyltech facility. This will allow us to execute on a potential facility expansion to improve plant operations and logistics and increase plant capacity. We currently expect the cost of this project to be up to $50 million for Phase 1, and an additional seven million for a Phase 2 expansion. The Phase 2 expansion would be outside the current five-year CapEx plan. Phase 1 would add one extrusion line which would increase our plant capacity by 26 million pounds. And Phase 2 would add another extrusion line further expanding capacity by an additional 26 million pounds. We are also exploring additional capacity expansion that are BTD, Dawsonville, Georgia facility to support continued organic growth opportunities with OEM customers served from that location eliminate our current off site leased warehouse. We also expect to have additional transmission investment opportunities, up to 250 million, a majority of which is outside the current five-year capital plan. Slide 27 reflects availability under our lines of credit as well as our credit ratings for Otter Tail Corporation and Otter Tail Power Company. Standard and Poor's did revise its outlook for Otter Tail Corporation from negative to stable during the first quarter. And as shown on Slide 29, our five-year financing plan calls for the issuance of long-term debt to primarily support the electric segments rate base growth. And there is no need for any external equity in the financing plan. Please refer to Slide 26 as I provide an overview of our first quarter 2022 segment earnings. The electric segment net earnings increased $1.6 million, or 9.4% over the first quarter of 2021. The increase in earnings was primarily driven by the favorable impact of weather in the first quarter of 2022, as well as increased retail sales volumes from commercial and industrial customers. These items were offset by higher O&M costs related to an increase in operating costs for Merricourt and Astoria station. Both facilities were fully operational in the first quarter of 2022, compared to 2021, when they were still ramping up from recently going into service. Increased incentive compensation costs related to current year financial and operational performance. Increased travel costs resulting from the eased COVID restrictions. An increase in insurance costs and depreciation and amortization expense also increased due to Astoria station being placed in service in February of 2021. Net earnings for the manufacturing segment decreased $1.3 million, compared with the first quarter of 2021. Reduction in earnings resulted from a 5% decline in sales volumes at BTD as a result of our customers delaying or adjusting shipments in response to supply chain challenges, they are experiencing from other suppliers. Gross profit margins were negatively impacted by lower productivity and increased costs. The unpredictable customer demand created some labor challenges which led to lower production efficiency. We did experience an increase in operating revenues related to higher steel prices, which were passed through to our customers. T.O. Plastics also contributed to the growth in segment operating revenues. This was primarily due to improve product pricing and sales volumes. However, the increase in operating revenues was partially offset by lower gross margins due to the impacts of product mix, and increased maintenance and freight costs. Net earnings from the plastic segment increased $41.7 million compared to the first quarter of 2021. The higher net earnings resulted from improved sales prices of PVC pipe compared with the first quarter of 2021. The increased sales prices exceeded increases in the cost of PVC resin, with continued strong demand for PVC pipe products and limited PVC pipe inventories supported the rising sales prices. These conditions were a continuation of the market dynamics experienced throughout 2021. Additionally, the industry dealt with supply constraints of additives and other ingredients used to make PVC pipe. This prevented us and competitors from being able to build inventory levels. The expected declines in the resin, and the price of PVC resin in the first quarter of 2021 did not materialize and resin prices started to increase in March due to increasing feedstock prices and stronger than expected export markets. Our corporate costs increased primarily due to higher employee benefit costs in the first quarter of 2022. Our business outlook on Slide 29 reflects the 2022 earnings per share range of $5.15 to $5.45, compared to the $3.78 to $4.08 we have previously issued. The midpoint of the revised guidance is $5.30 a share which reflects a 25% growth rate from our 2021 diluted earnings per share of $4.23. We are maintaining our February 14, 2022 guidance for our electric and manufacturing segment, we are increasing our plastic segment guidance and adjusting our corporate cost center guidance. We are now expecting our 2022 net income from the plastic segment to be higher than 2021. As mentioned, the first quarter of 2022 performed ahead of our plans, as market conditions from the fourth quarter of 2021 continued into 2022. While PVC resin supplies improved, the price of red PVC resin is now increasing driven by increased natural gas prices and the events related to the Russia Ukraine conflict, which have resulted in increasing global resin prices. This has created an environment for U.S. resin producers to raise domestic prices arising from strengthening export markets for PVC resin. There have been supply constraints related to additives and other ingredients used to make PVC pipe. This has prevented the PVC pipe manufacturers from being able to build inventories. The demand for PVC pipe continues to be strong resulting in sales prices of PVC pipe continuing to increase. The updated guidance still reflects lower volume of pounds of pipe sold in 2022 driven by the extremely low levels of finished goods inventory at the beginning of the year, and the inability to build inventory levels during the first quarter. We currently expect the market conditions being experienced to continue through the second quarter of 2022. Resin prices are currently expected to decrease after July. Given this and concerns over general economic conditions, we expect the last half of 2022 to see a decline in profitability as compared with the first half of the year. But we could see further upside to our current year earnings guidance should the market conditions - should the current market conditions continue beyond the first half of 2022. Our corporate costs are now expected to increase in 2022 driven by higher incentive by higher incentive compensation costs, resulting from our strong financial performance and expected contribution to our foundation of $3 million, which is consistent with the 2021 contribution. We also expect to have lower gains in our investments in 2022, as compared with 2021. Our 2021 earnings mix was 59% from our manufacturing platform, and is now expected to be 65% in 2022. This change from our long-term goal of 70% electric and 30% manufacturing platform continues to be driven by our plastic segment and the unique market conditions in 2021 and 2022. We currently expect to see a higher level of earnings from our manufacturing platform into 2023. We then expect a higher level of earnings to be generated from our electric segment thereafter. As shown on Slide 33, we expect to deliver a total shareholder return of 8% to 10% over the long term, consisting of a 5% to 7% compounded annual growth rate in earnings per share, using 2020 as the base year, along with our current dividend yield. Looking forward, we would expect to grow the dividend consistent with our long-term earnings per share growth rate of 5% to 7%. Our business model continues to serve us well and we remain positioned to fund our rate base growth opportunities with utility with our strong balance sheet, ample liquidity to support our businesses and strong investment grade corporate credit ratings. We are now ready to take your questions.
Operator: Thank you.  We have the first question comes from the line of Chris Ellinghaus of Siebert Williams.
Christopher Ellinghaus: Chuck, can you talk about the PVC expansion you have in the works? What goes into that first Phase? What are the common elements that make that much more expensive in the second Phase?
Charles MacFarlane: Sure. The first consideration is we had to buy additional land, we are approximately doubling the acreage we have at the existing site and a lot of the costs for a second facility and other upgrades that we are going to make at the facility even without past expansion we included in that in that first section. So the second Phase has much fewer, just really the lion production of a new line with all the other infrastructure being in place already.
Christopher Ellinghaus: Chuck, can you also talk about the equity bill that you are getting from this extraordinary PVC profitability? Can you sort of talk about what your thoughts are what you might use that for?
Charles MacFarlane: Sure. We have made contributions to our pension plan, we are going to use it to facilitate organic growth in both the utility and the manufacturing businesses to-date, and we are continuing to look at other alternatives or options for that cash.
Christopher Ellinghaus: Okay. And as far as your outlook for the second half of the year for plastic, obviously, we have got some extreme inflation and energy prices at the moment. But what is it that you see on the horizon that would make you think that sort of world supply demand dynamics would change very much in the second half of the year?
Charles MacFarlane: Yes, well, I think we just see the increase in interest rates potentially putting some pressure on housing starts are new home construction, we haven't seen that to-date. We do think that the supply chain issues that really drove the shortages of first resin and now additives and other things. Are there the global supply the export. As you can imagine, energy costs in Europe to make resin have gone up significantly and so the value proposition of buying it from the U.S. has moved up and that is driving overall, PVC resin costs up, depending on how that conflict whether it continues or how the energy balance in Europe plays out, I think could impact that going forward in the second half of the year.
Kevin Moug: I would add to that, Chris, this is Kevin. The current view from chemical data, the industry source that forecasts resin prices that saris. Now forecasting that resin prices are going to start to decline after July that usually is an indication that we will see sales prices start to decline as well. So that is the current view that is baked into our thinking, obviously, in this world we are in that could change, but that is a factor we are looking at as well.
Christopher Ellinghaus: Okay. For BTD, are you looking for improvement in your OEM demand as their supply constraints improve throughout the year? Is that your basic outlook?
Kevin Moug: Yes.
Christopher Ellinghaus: Is there, I guess a similar type question. What is it that gives you confidence in that throughout the year, since we have - China has significant lock downs, and there is not much shipping taking place there. So what is it that makes you think that supply constraints aren't going to continue for a while?
Kevin Moug: Well, we started to see some improvements in the supply chain with these, in our customers from some of their other suppliers. And so based on that some of the conversations our folks are having with our customers there looks to be over the next rest of the year, some loosening up of the supply chain. In terms of current performance here, we are seeing some of that as our sales production here in the second quarter has been improving. So there is some indicators, while it is certainly a risk still for the year we are starting to see some things that indicate that there is improvement in that piece of the supply chain
Christopher Ellinghaus: Which you now also expected higher interest rates and you mentioned those steel prices, having some price sensitivity for customers in some of those end markets as well.
Kevin Moug: Yes. I mean, we are looking at, clearly rising interest rates, inflation, certainly our - you would think wouldn't bode well for the consumer, the consumers balance sheets. However, are still pretty healthy, their savings rates are strong, there is a fair amount of backlog built up in the OEMs, particularly a Polaris for recreational vehicle equipment and that pull through or customers continue to buy that product, when it becomes available to them. So, yes. It is a risk, we are certainly watching it and considering it in our kind of forecasts. But as we look today, based on affirming the guidance - reaffirming the guidance for the segment, we think that there is going to continue to be that kind of pull through as supply chains improve the customer or the consumer, I should say, is still pretty healthy, but we are watching it, it is a risk that we watch and monitor, but we are thinking for 2022 we are still seeing pretty good customer purchase of product when that product becomes available and our customers.
Christopher Ellinghaus: Did they still I assume - also have some limited inventories as well that they need to replenish?
Kevin Moug: Yes.
Christopher Ellinghaus: And one last thing, the tax benefit $0.06 what was that about?
Kevin Moug: The tax benefit for corporate is what you are referring to?
Christopher Ellinghaus: Yes.
Kevin Moug: Yes. So when we are looking at our budgeted or forecasted effective tax rate, what happened was we were asking the utility to kind of based on their level of earnings and what can effective tax rate our manufacturing companies are booking at as if they are on a standalone basis, the effective tax rate and then when we prepared our consolidated tax return or - sorry, consolidated tax provision, here at the first quarter, of course, we had a much higher level of earnings across the organization, which then resulted in a larger benefit on a consolidated basis coming through on the effective tax rate.
Christopher Ellinghaus: Got you. Okay, thank you very much. I appreciate the color guys.
Operator: Thank you. We have the next question comes from the line of Tim Winter of Gabelli. Your line is now open. You may ask your question.
Timothy Winter: Congratulations guys on another extraordinary quarter. I guess we are going to have to learn a little bit more about the PVC business. And on that note, can you maybe talk a little bit about the landscape of the PVC business where does Vinyltech in Northern Pipe fit into the overall size and scale of that market? And then, more importantly, what are some of the opportunities that this environment is presenting for your company meaning can they consolidate smaller companies or are there larger companies that are interested in Northern Pipe or Vinyltech.
Kevin Moug: Yes, Tim, thanks for the comments and this is Kevin. There are, certainly as we look across the landscape of competitors, we are probably in the upper half of the competition. In terms of capacity size, there is a number of smaller players out there, we certainly look at those competitors in terms of size and capabilities. There hasn't been much of a fit for us just because of the geographic locations that don't necessarily make sense for us to look at and what we know about those parts of the country and the kind of the business those competitors would play in. There is large, larger competitors out there that certainly probably are seeing our performance and looking at that, and potentially could have interest in it, nothing that we are certainly aware of today. But that is always certainly a possibility that could be out there because there are a couple of larger publicly traded businesses in the space that have expressed interest in growing their business, and certainly that could be a at some point in time, there could be a knock on the door, but nothing that we could certainly have seen to-date.
Charles MacFarlane: Maybe from, you started with a question on the overall size, and we break it into rigid pipe area for the for the U.S., which includes electrical conduit and that is PVC. But in that space, we are probably 8% to 10% of the market, of total pounds of PVC pipe and which again, includes this component of electric conduit in addition to water and wastewater and home PVC vents, piping and those types of things.
Timothy Winter: Thanks for that color.
Kevin Moug: Yes, Tim, this is Kevin just may be a I mean, this was a little bit of a repeat of my earning strip comments, but in terms of an opportunity that we are looking at is just the expansion, the organic expansion of Vinyltech and Phoenix, we did buy that land in the fourth quarter of 2021, adjacent to the facility. And now we are looking at further expansion of the property through an upgrade to our existing office space and facilities as well as an additional extrusion line. So that is an organic opportunity for us here that we are working on.
Timothy Winter: Okay, and just two follow-up questions of that one is, is the potential capital for the expansion? Is that in the table on Slide 31, or is it not included yet?
Kevin Moug: No, Tim, that would be in there, the Phase 2 piece, of course, wouldn't be in there because that is outside the five-year plan, but the Phase 1 is predominantly covered in the current five-year plan.
Timothy Winter: Okay. And then can you just remind me how you guys consider your portfolio of businesses, I believe you have an annual review process or is there something more frequent than that?
Charles MacFarlane: No. Tim, it is chuck. We have an annual review process which we are in Malden now. It will occur over the next several months. And we look at our business mix, we looked at our portfolio criteria, we looked at some of the parts and evaluate the value of each independent business at that time.
Timothy Winter: Okay, great. Well again congratulations in extraordinary numbers. Thanks.
Operator: Thank you. Next question, we have line of Sophie Karp of KeyBanc. Your line is now open. You may ask your question.
Sophie Karp: So, on this PVC situation, I guess for those of us not in the chemical space. Could you provide a little bit more color on what is causing particularly the spread expanding, right. So I think we kind of get the commodity situation, my guess and such, right? But specifically the spread so the resin price can go up and down. But you have seen this extraordinary expansion of spreads of PVC price. So what kind of dynamic in the value chain is driving that? And why do you expect that to change when commodity pricing comes down? I guess that is my first question.
Kevin Moug: Yes, Sophie, it is Kevin, I will start with that. I think what we are seeing in terms of this extraordinary increase in sales prices is it is the demand that has been driving and if you look back to when these resins shortages started back in February of 2021, when we had the severe cold weather snap in the country and the resin manufacturers declared force majeure and puts constraints on resin supply while the demand never went away and that started to drive sales prices for the PVC pipe up and it just continued throughout 2021 and was even further exacerbated by the hurricane Ida which kind of restarted another concern over supply. And while us and PVC pipe competitors are certainly getting resin, the demand was so strong that sales prices just continued to move up. And that just continued through 2021. We expected those conditions to continue into the first quarter of 2022. New piece of supply chain challenges popped up in the first quarter with these additives particularly tin stabilizer, which is used in the manufacturing process and it helps to prevent the pipe from discoloring. There was a shortage of tin stabilizer in the first quarter and then that caused - couldn't really make as much PVC pipe with the tin stabilizer shortage. Still demand is strong, sales prices continued to move up. PVC pipe converters like ourselves were able to find an alternative product in replacement of the tin stabilizer. That product is accepted to make PVC pipe in terms of specifications. It does slow the production capacity of the lines down somewhat based on the nature of the product. And so it continue to prevent converters from raise or building more inventories. And the end users continued to have a strong demand for the product to continue to build their projects that they are working on. And that has just continued to drive up the sales prices here, through the first quarter and our visibility into the second quarter. The reason we expect that we are starting to see a forecasted decline in resin prices after July is, historically as resin prices start to decline. So do sales prices, because the end users, the distributors, and then the construction contractors that are using the pipe, recognize that there is a decline in raw material prices and would expect to see them sales prices decline as well. And so history - that has proven to be true throughout history, and that is what we are expecting, based on the information we have today could happen in the last half of the year.
Sophie Karp: Thank you. It is very helpful color, I appreciate it. So basically, what you are saying is that there is a lot of pent up demand for final products plus additional material, material supply challenges that kind of driving this shortage of the end products when the commodity resin is basically more available right now. So if we entertain this thought, right, I'm just kind of curious if you have given any thought to the situation where maybe this dislocation becomes somewhat sticky, right to the upside and the relative size of your manufacturing platform businesses therefore exceeds the target 30% for a longer period of time. How comfortable are you with that situation and like what are your thoughts on that?
Kevin Moug: Sophie Kevin, again. Chuck mentioned the portfolio review process we are going through, we are in the midst of our strategic planning process. Today and expect to continue that over the next couple months. We have our two-day planning session with our Board in June. And we are looking at as we are looking at our updated financial plans, there is certainly new market information that has recently come out from independent sources that follow the PVC pipe industry that starts to show that over the longer term we could expect to see stronger prices both on the resin side and on the sales side. Kind of new information to us and we are taking all that into account in our updated financial plans to see what that looks like in terms of earnings mix going forward. And I think we will be able to have a better view for you as a part of our second quarter earnings call, once we get a chance to complete the strategic planning process, review that with the Board and see what these this kind of this new industry information that is recently come out how we think that affects us over the long-term.
Sophie Karp: Got it. thank you. That is all from me.
Operator: Thank you.  We have the next question comes from the line Brian Russo of Sidoti. Your line is now open. You may ask your question.
Brian Russo: When we look at, obviously, the meaningful outperformance of the plastics in the first quarter and your comments regarding the second half of 2022 versus the first half of 2022. Just from a quarterly dispersion, should we kind of assume that the second quarter earnings and margins in plastics will match what you have reported in the first quarter?
Kevin Moug: Yes, Brian, that is Kevin. That is a fair assumption.
Brian Russo: Okay. So then, we could almost back in to what the second half of 2022 would look like, which would be maybe 40 plus million in earnings. And I'm trying to kind of triangulate, what normalized full-year earnings might look like in plastics. And I think in 2020, the net income in plastics was 27 million. Are you kind of revisiting the 27 million of kind of a normalized market in spreads for that business going forward or is that still something we should be mindful of when looking past the significant outperformance and unique market dynamics of 2022?
Kevin Moug: Brian, Kevin, again. We are really looking at that kind of longer term view. Like I mentioned, we have started recently to see some new industry information coming out about views of where resin prices are kind of headed over the next five-years what impact that has on margins and sales prices. And so we are starting to look at that, understand it in as we are updating our kind of five-year financial plans here. How do we think that affects the earnings mix of the organization and what is that longer term view of kind of what normalized earnings for plastics could be? So yes, we are telling you, I guess, I think we will have more information for you sometime, we would expect to hopefully to have a better update at the second quarter earnings call. Once we get a chance to put all this information together get through our strategic planning process, review that with the board and expect to have further updates for you.
Brian Russo: Okay. I guess this longer term view has been contemplated in respects to your planned Vinyltech facility expansions right. So you clearly have a bullish view on the plastics market?
Kevin Moug: Yes. We clearly have opportunity on the southwest part of the country is a very, extremely populated, extremely growing, lots of construction activity that happens in that part of the country and we just think that there is some good opportunities. One to just improve the plant operations and logistics and make that facility more efficient than it is today. But then we also have the opportunity to expand that with one extrusion line in the first Phase, that is that 26 million pound extrusion line I referred to.
Brian Russo: Okay. And then see the reference to the 70/30 utility manufacturing mix. Correct me if I'm wrong, but did you say that you won't return to that level in 2023, but that is the longer term mix?
Kevin Moug: Well, what we said is we expect 2023 to continue to be stronger earnings mix towards the manufacturing platform. And then after that, we would expect to see the electric segment earnings return to a higher level of the percentage of total earnings, but we didn't give a specific percentage Brian and that is, again, what we are working through with this updated strategic plan and how that affects the financial plan and earnings mix going forward.
Brian Russo: Understood. And then just lastly, on the regulated utility in the IRP, is there upward pressure on the dollar amount of investments you have included in your CapEx, just based on you know, supply chain issues and inflationary pressures?
Charles MacFarlane: Hi Brian, this is Chuck. Yes, we have put some but we have not put in new numbers on potential increases inflation on transmission or the solar installation in the out years. And so we have sort of locked up the numbers on - like solar, which is the near-term projection by we have got all the major contracts in place and we do have the inflation worked into those so.
Brian Russo: Okay, great. Thank you very much.
Charles MacFarlane: Thank you.
Operator: Thank you. I’m showing no further question at this time. I would now like to turn the conference back to Mr. Chuck MacFarlane, Otter Tail Corporation, President and CEO. Sir.
Charles MacFarlane: Thank you for joining our call and for your interest in Otter Tail Corporation. With continued execution on a rate based growth and efficiency improvement opportunities at the utility, an emphasis on operational and commercial performance at our manufacturing platform, we remain confident in our ability to deliver long-term shareholder value. Based on our strong first quarter performance and our updated view for the remainder of the year, we are raising our 2022 diluted earnings per share guidance to $5.15 to $5.45 from our previous guidance of $3.78 to $4.08. We appreciate your interest in Otter Tail Corporation and we look forward to speaking with you next quarter.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.